Operator: Good morning, and welcome to the Flotek Industries Inc. Year End 2012 Earnings Conference Call. [Operator Instructions] This conference is being recorded. At this time, I would like to turn the conference over to Mr. Glenn Neslony, Vice President and Treasurer, Flotek Industries. Please go ahead, sir.
Glenn Neslony: Thank you, and good morning. Today's call is being webcast, and a replay will be available on Flotek's website. Our earnings and operational update, press release, as well as annual report with the United States Securities and Exchange Commission will be filed and distributed -- were filed and distributed last evening and are also available on the Flotek website. Before I turn the call over to Flotek's Chairman, President and Chief Executive Officer, John Chisholm, I wish to remind everyone participating in this call, listening to the replay or reading a transcript of this call of the following: Some of the comments made during this teleconference may constitute forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934, reflecting Flotek's views about future events and their potential impact on performance. Words such as expect, anticipate, intend, plan, believes, seeks, estimates and similar expressions or variations of such words are intended to identify forward-looking statements but are not the exclusive means of identifying forward-looking statements on this call. These matters involve risks and uncertainties that could impact the operations and the financial results and cause our actual results to differ from such forward-looking statements. These risks are discussed in Flotek's filings with the United States Securities and Exchange Commission. Now I'd like to introduce Mr. John Chisholm, Flotek's Chairman of the Board, President and Chief Executive Officer.
John W. Chisholm: Glenn, thank you. I would also like to welcome each of you to Flotek's 2012 Annual Review Conference Call. With me today are Rich Walton, Flotek's Chief Financial Officer; Steve Reeves, our Executive Vice President of Operations; Kevin Fisher, our Executive Vice President on Global Business Development; Chris Edmonds, our Senior Director of Finance; and Glenn Neslony, Flotek's Vice President and Treasurer. Last evening, we filed our annual report with the U.S. Securities and Exchange Commission. While we won't take your valuable time to regurgitate those filings, we will provide a summary of the results, attempt to add some color regarding current, operations, as well as a sense of our future and then be happy to answer your questions. 2012 was a year of significant achievement and evolution for Flotek, both from an operational, as well as a financial perspective. Very simply, Flotek posted record revenues and margins, while at the same time completing the transformation of your company from a debt-laden, challenged enterprise to an oilfield technology leader, with one of the strongest balance sheets in the industry and a focus on cutting-edge technologies that improve the efficacy of hydrocarbon production while remaining a leading advocate of environmental stewardship in oil and gas exploration and production. At the beginning of 2012, we said that Flotek's goal was to make a difference for our clients, our communities, our employees, the environment, and first and foremost, you, our shareholders. By nearly every account, we have done just that. Our customers leverage Flotek's expertise and completion chemistry, production systems and drilling technologies to create more efficient drilling, completion and production systems, thereby increasing the number of viable exploration horizons, as well as improving returns to their stakeholders. Our communities benefit from Flotek's robust business growth, our team members' involvement in programs that better the communities in which we live and work and Flotek's direct support of programs in and around the communities we serve that focus on education, human services and ways to improve the quality of life. Our employees benefit through more robust business opportunities, which create opportunities for personal and professional growth, as well as Flotek's stock ownership program that casts a very wide net. We are committed to making a difference in the environment. From the day in 2003 when Flotek filed for its first patent of a biodegradable completion chemistry to today, where we are generating efficacious alternatives to traditional, less-friendly chemicals for use across the life cycle of the well, we understand that it isn't good enough just to be green. Our products have to be both green and great, meaning our products not only protect the environment, they improve outcomes for our customers and clients. And finally, we've made a difference for our shareholders. Through strength in our operations and the deleveraging and repositioning of our balance sheet, Flotek has provided industry-leading returns to our shareholders, both in 2012 and over longer periods. In 2012, Flotek's shares increased approximately 22% compared to 13% for the New York Stock Exchange Composite Index and 2% for the Philadelphia Oilfield Service Index, or OSX. And to show just how far the Flotek journey has come, for the 3-year period ending December 31, 2012, Flotek shares improved 810% compared to 18% for the New York Stock Exchange and 13% for the OSX. Those results are a testament to the hard work and dedication of the entire Flotek team. That said, and as I've noted before, those who ignore history are bound to repeat it. As Flotek's Chief Executive, I pledge Flotek will never intentionally find itself in the financial position experienced in 2009. Not only is our discipline such that unacceptably high levels of leverage are no longer in Flotek's DNA, but no member of this team is willing to relive the pain and challenges of 2009, nor are we willing to subject our stakeholders to such uncertainty and displeasure. As long as I'm your President, we will remember the lessons learned over the past 2 years and work tirelessly to assure they're continuously used to improve your company. Moreover, we're not willing to rest comfortably in the past, but rather, your company will strive to reach for a future where our industry-leading innovation can create value for all our stakeholders. Indeed, the journey is just beginning. While we've made great progress in the past 3 years, we are not yet satisfied with where we are. While we must continue to pursue opportunities to grow, we must also continue our focus to assure that growth creates long-term opportunities to increase profit. Our focus on positioning Flotek as a leader in advanced oilfield technologies must come with an understanding that leadership will require new ways of thinking about the balance between productivity and the environment and our customers and our communities. That future is embodied in ideas and people that can continue to make a difference for all Flotek stakeholders. Just this morning, we announced that Flotek has signed a letter of intent with Gulf Energy of Oman, to construct a specialty oilfield chemical production and distribution facility, as well as a research and development center in Oman that we believe will quickly become one of the region's technological leaders in environmentally responsible, high-performance drilling completion and production chemistries. From Oman, we will serve the Middle East and North Africa amongst the most prolific oil- and gas-producing regions in the world. This relationship is a result of the vision and persistence of the Flotek team, our ongoing relationship with Basin Supply and our continued belief that incremental progress, ultimately, can lead to positive outcomes in international markets. We have consistently said that international business development is time-consuming, less certain and can provide lumpy results. But when results come, they're worth the wait. While we still have a lot of work to do before the full benefits of the Oman efforts are realized, we are starting to deliver specialty chemicals into Oman as a result of this fledgling relationship. More importantly, we are excited about the future in Oman and throughout the Middle East and North Africa. On the people front, I'm pleased to announce that earlier this week, the Flotek Board of Directors elected Rich Walton to the position of Executive Vice President and Chief Financial Officer, a position he has held on an interim basis since earlier this year. As noted at the time of his appointment, Rich has been a valued member of the Flotek team for over 3 years, has been in public accounting for over 3 decades and has the demeanor, skill set and ethic that will serve Flotek and its shareholders well. I'm delighted Rich has accepted this challenge, and I'm confident he's the right person at the right time to lead Flotek's continued efforts to continuously improve its financial reporting and transparency. Along with the entire Flotek family, it's a privilege for me to welcome Rich to the financial team. As I have said on each call, since I took the helm now over 3 years ago, it continues to be my privilege to serve as President of your company. I remain immensely proud and humbled by the commitment and support of members of the Flotek team that believed, as a group, they could make a difference in the future of Flotek and believed in our vision to restore stability and growth to the company and continue to be enthused that through the efforts of our people, the future is filled with opportunities to create value for our stakeholders. With that, I'd like to turn the call over to Rich Walton to review 2012 financial highlights and provide some additional color on certain financial issues. Again, Rich, congratulations.
H. Richard Walton: John, thank you. As John mentioned, Flotek filed its Form 10-K annual report for the year ended December 31, 2012, with the U.S. Securities and Exchange Commission yesterday afternoon. In that report, Flotek reported revenue for the year ended December 31, 2012, of $312.8 million, an increase of $54 million or 21% compared to the $258.8 million for the same period in 2011. Growth was driven primarily by the Chemicals and Logistics and the Drilling Products segments. In those segments, revenue growth was a result of improved pricing and improved marketing efforts, which resulted in increased market share. For the year ended December 31, 2012, the company posted net income attributable to common shareholders of $49.8 million or $0.97 per share on a fully diluted basis. That compares to net income attributable to common shareholders of $26.5 million or $0.56 per share for the 12 months ended December 31, 2011. Included in 2012 net income is a gain of approximately $2.6 million related to the change in the fair value of the warrant liability associated with warrants issued in August of 2009 in our preferred stock offering. Included in 2011 net income was a gain of approximately $9.6 million related to this similar change in the fair value of the warrant liability in 2011. Also included in 2012 net income is a loss of approximately $7.3 million related to the early extinguishment of debt, which resulted from the earlier retirement of the company's convertible notes, which were issued in 2008. Included in 2011 net income was a loss of approximately $3.2 million related to the early extinguishment of debt. At December 31, 2012, the company also determined that it was able to record a benefit of $16.5 million against income tax expense as a result of decreasing its valuation allowance on its deferred tax assets. These -- this reevaluation allowance was required to be established back in 2009. In 2011, the company did not decrease its valuation allowance on deferred tax assets. Excluding these nonrecurring items, net income for the 12 months ended December 31, 2012, was $37.9 million or $0.71 per share on a fully diluted basis. That compares to $20.2 million or $0.42 a share on a fully diluted basis for the year ended December 31, 2011. A reconciliation of this non-GAAP measure of financial performance to GAAP net income can be found at the conclusion of the press release that we released last night. In addition, a reconciliation of 2012 and 2011 EBITDA, also on a non-GAAP measure of financial performance, is also included in that same press release. For the period ended December 31, 2012, Flotek's non-cash compensation expense was approximately $13.4 million or $0.25 per common share on a fully diluted basis. For a year-earlier period, the year ended December 31, 2011, non-stock compensation expense was approximately $7.4 million or $0.16 per share. Gross margins for the 12 months ended December 31, 2012, were 42.1% compared to 40.9% for the year ended December 31, 2011. Excluding an inventory mark-to-market adjustment, which was taken on December 31, 2012, gross margins for the 12 months ended December 31, 2012, were 42.5%. For the 3 months ended December 31, 2012, Flotek posted revenue of $76.7 million, an increase of $1.8 million or 2% compared to the $74.9 million reported in the same period of 2011. Quarterly results in 2012 were improved in both the chemical and the Drilling Products segments. However, much slower activity over the Thanksgiving holiday week and in the last week of December had a meaningful impact on growth dynamics in the quarter. On a GAAP basis, Flotek posted earnings per share on a fully diluted basis for the 3 months ended December 31, 2012, of $0.44 compared to $0.02 for that same 3-month quarter ended December 31, 2011. Consolidated gross margins for the 3 months ended December 31, 2012, were 40.8% compared to 42.3% in the same period in 2011. Excluding an inventory mark-to-market adjustment taken on December 31, 2012, gross margins for the 3 months ended December 31, 2012, were 45.0%. As of December 31, 2012, the company's cash balance was $2.7 million compared to $46.7 million as of December 31, 2011. During the quarter, the company used approximately $25 million of its cash balance to repurchase approximately $50 million of its outstanding convertible notes. In addition, the company entered into a new credit facility with PNC Bank. The facility provides the company with a $50 million revolving line of credit, as well as a $25 million term loan, which has been drawn to help facilitate the note repurchase. The $50 million result -- revolver remains undrawn and available. Subsequent to the year end and, actually, on February 15, 2013, the company repurchased the remaining 5.2 million of its outstanding convertible notes. The notes were repurchased with cash on hand and without additional borrowing. As a result, the company no longer has any outstanding convertible notes. Exclusive of capital leases, the company's only debt qualification is the term loan with PNC Bank, which has a current balance of $24.4 million. While we are pleased with our 2012 financial performance, we will strive to provide even more robust results in 2013. In addition to growing the business, Flotek's finance and accounting groups continue to work -- look for ways to improve the efficiencies and streamline information to better support our frontline team members, who are the cornerstone of sales and revenue growth. Finally, I am delighted that John and the leadership team and Board of Directors have shown confidence in me to lead the financial efforts of Flotek into the future. As someone who has spent his entire career in public accounting, I can sincerely say that I am excited to become the CFO of a public company, especially one with the potential and leadership of Flotek. I pledge to you that I will work diligently to ensure our financial statements are accurate and transparent and will work tirelessly to add value to the stewards of financial reporting for Flotek and its shareholders. I would now like to turn the call over to Steve Reeves to discuss our business operations.
Steven A. Reeves: Rich, thank you. And let me also offer my congratulations on your appointment as our Chief Financial Officer. I've had the opportunity to work with Rich for the past several years and have the highest regard for his work, his professionalism and have little doubt that his new permanent role will serve Flotek and its shareholders well. In general, North American drilling activity continues to provide a constructive, albeit less robust backdrop for Flotek's portfolio of oilfield technologies. While natural gas prices remain challenged, strong liquids prices continue to provide opportunities for growth. Our continued focus on developing a more balanced portfolio of oilfield technologies did positively impact both liquids, as well as natural gas projects, continues to yield positive results. Nearly 3/4 of our revenue is associated with liquids-related initiatives compared to nearly the opposite just 2 years ago. Indeed, Flotek's research and marketing initiatives have created a company that is truly hydrocarbon agnostic. Our products that are equally as effective when working in concert with natural gas, natural gas liquids or oil exploration, development and production. Chemicals 2012 revenue totaled $184 million, an increase of $43.2 million or 30.6% compared to $140.8 million in 2011. The primary increase in revenue was driven by increase in sales of our patented complex nano-fluids, which increased 63.7% for the year. In the Chemicals segment, while pricing remains steady in 2012, margins improved as a result of better raw material pricing and a significant increase in the efficiency in the company's Marlow, Oklahoma chemical production facility. In fact, capital projects at Marlow helped to increase production throughput by over 50%, while producing -- while reducing the overall labor need by nearly 20%. Moreover, Flotek's chemical production facility continues to have a stellar safety record with no OSHA recordable incidents in 2012. Gross margins for the 12 months ended December 31, 2012, in the Chemicals segment were 44.3% compared to 39.8% for the same period in 2011. The company continues to be acutely focused on margin improvement through pricing, cost containment and efficiency. Excluding the impact of a mark-to-market inventory adjustment in the fourth quarter, chemical gross margins for the 3 month ended December 31, 2012, were 42.4% compared to 39.4% in the same period in 2011. Flotek's patented Complex Nano-Fluids suite of chemistries continued to gain market share in unconventional oil and natural gas completions. From the Denver-Julesburg and Williston Basin in the Rocky Mountains to the Permian Basin in South Texas, CnF additives continue to provide exploration and production companies with outstanding completion results compared to wells, where CnF fluids are not used. Activities continues to increase in the Niobrara formation, as well as the Bakken and Eagle Ford Shales, as well as other emerging unconventional plays. Of note, Flotek clients have begun to use CnF additives in the Utica Shale with promising results. A hallmark of our present and future success in our Chemicals segment is our commitment to research and development. Our team of scientists has worked diligently to be responsive to client requests for new products and new applications of existing products, resulting in innovations that have instantly become top industry performers, including cross-linkers, friction reducers, scale inhibitors and new CnF formulations that address specific shale dynamics. As a symbol of the company's commitment to research, Flotek expanded the size of its chemical research facility located in the Woodlands, Texas, by more than 30% in 2012. As a result of research efforts, Flotek introduced CnF 2.0 fracturing additive in 2012, an advanced concentrated CnF product that is currently being tested. The company believes the CnF 2.0 product has characteristics that can significantly reduce the overall environmental footprint of unconventional completions, while at the same time, improving production efficacy of all the natural gas wells. The company has been very pleased with the initial reception to the innovations and expects their strategic marketing and distribution to grow in the first half of 2013. The company continues to diversify its customer base with the focus on selling to integrated service companies, as well as marketing to exploration and production companies, the principal end-user beneficiaries of many of our chemistries. New marketing strategies and an improved technical sales force have brought meaningful success in these initiatives. In addition, Flotek's international initiatives continue to show results. We continue to work with a number of partners, as well as through our own international sales professionals and are making meaningful commercial progress in Latin America, Europe, the Middle East and North Africa. We expect to discuss additional opportunities in those regions throughout the year. In addition to traditional applications of our suite of Complex Nano-Fluids, our direct marketing efforts have identified other potential product applications, which are creating meaningful opportunities for Flotek. As discussed in the past, interest in the application of CnF and enhanced oil recovery is growing. The volume of surfactants used in enhanced oil recovery dwarfs most other applications, making it a primary market for Flotek. We continue to make progress in EOR markets through direct sales, as well as partnerships with key players in the EOR industry. EOR will remain a core focus of new chemistry applications in 2013. Drilling revenue for the year ended December 31, 2012, totaled $116.7 million, an increase of $14.3 million or 13.9% compared to $102.5 million for the year ended December 31, 2011. The increase in revenue is attributable to increased domestic and international market share from existing and new customers, favorable shifts in customer demand to higher-margin products and increased customer demand as a result of sustained oil-focused drilling activity, a result of strong crude oil prices. In the Drilling Products segment, a declining rig count in the second half of the year combined with the normal seasonal slowdowns in activity were offset by increased market share, increased depth of work for existing customers and a continued acceleration in revenue from the company's Teledrift measurement-while-drilling products and its Cavo motors division. Even with an overall lower rig count, Flotek continues to see an increase in the total spending per rig for the company's products, a sign of relative strength amongst its peers. The company's Teledrift's products continue to dominate the vertical measurement-while-drilling business. Two of Flotek's MWD offerings, ProDrift and ProShot, continue to show solid growth, increasing market reach, as well as profitability based on upgrades from the basic Teledrift products. In fact, over 50% of Teledrift customers upgraded the ProDrift and ProShot in 2012. Overall, Teledrift continues to dominate the MWD market in the Permian Basin and continues to post significant growth in several other domestic basins. Teledrift also continued to post strong growth in international markets, especially in Argentina, Kazakhstan and Saudi Arabia. In 2012, Flotek introduced a number of enhancements to its Teledrift line of products, including wireless telemetry technologies that allow the review of Teledrift positioning results nearly anywhere a wireless signal is available. Also worth noting is Flotek's Galleon manufacturing group, which primarily produces drilling tools for base and precious metals mining. The group had a record year and continues to see growth in backlog for its core mining tools. Our Artificial Lift revenue for 2012 was $12.1 million, a decrease of $3.4 million from 2011. Customer activity and demand decreased as a result of the decline in natural gas prices during 2012. Artificial Lift gross margin for 2012 was $4.5 million, a decrease of $1.6 million from 2011. Gross margin as a percentage of revenue was 36.9% for 2012, down from 39.4% in 2011. The decline in gross margin and gross margin percentage was attributable to lower sales of pumps and pump products and downward pricing pressure from products used in gas-directed drilling activities. Notwithstanding the decline in the Artificial Lift segment, we made significant progress in evolving our lift business from a gas-centric operation to one focused on both gas and liquids. We continue to grow our lift operations and all the operations in the Rockies and Southwestern United States. Specifically, we opened a new facility in the Williston Basin, which will provide lift services to companies operating in North Dakota's prolific Bakken Shale. We believe this new operation will have a meaningful impact on 2013 Artificial Lift activity. In addition, our patented Petrovalve mechanical production is gaining traction in key North American markets and remains a popular offering in South American markets focused on heavier oil production. While Flotek's business remains weighted to North American drilling markets, we continue to make significant progress in key international arenas and believe that international opportunities will be a key component of Flotek's growth in the coming years. While small in scope of Flotek's overall profile, revenues attributable to international activity in 2012 were approximately $39.9 million, an increase of $3.4 million or 9.3% compared to $36.5 million in revenue generated from international activity in 2011. While results will remain somewhat lumpy as we establish new international beachheads, we believe dynamic growth is ahead in the coming quarters. As we noted this morning, international activity continues to accelerate with increased opportunities in the Middle East and North Africa through our joint venture with Gulf Energy to build a chemical production company, as well as a research and development facility to serve the Middle East and North Africa. We are excited about the opportunities in front of us in 2013. While we will remain vigilant in our careful watch of commodity prices and drilling activity, we believe we are well positioned to continue to gain market share in the months ahead. Of course, we will remain vigilant at protecting margins through select pricing power and better operating efficiency. In addition, we will continue to focus on smart international growth that should provide additional opportunities for revenue and profit growth. With that, I'd like to turn the call back to John Chisholm.
John W. Chisholm: Steve, thank you very much. Before we take questions, I'd like to address 2 specific initiatives that for Flotek will continue to grow in 2013. First, while we discussed international opportunities earlier, I would like to provide a bit of additional color that will help you understand our long-term excitement regarding Flotek's evolution into an international oilfield technology company. The opportunity in Oman is the result of a significant amount of time and effort on the part of a number of members of the Flotek team, our partners such as Basin Supply and others, who've been singularly focused on creating profitable international prospects for Flotek. We believe the development of the chemical research and production business in Oman is precisely what will propel our international efforts forward in key regions of the world, Middle East and North Africa. Clearly, this is the first step in the process, and the end result won't happen overnight. However, the final product will be a durable contributor to Flotek's revenue and earnings growth for years to come. Moreover, while we have said consistently over the past several quarters, the timing of these opportunities is less certain than with domestic business development, Oman is just the beginning of a number of international opportunities in front of us in the months to come. We look forward to sharing progress with you throughout 2013 and beyond. While our relationship with Basin Supply may not have moved as quickly as either Basin or Flotek had hoped, we would not be in Oman without their help. We believe that 2013 will provide several other opportunities for Flotek to collaborate with Basin in additional international projects. In addition to our relationship with Basin, we continue to develop more expansive relationships with other international partners, including large, integrated service companies. We've scheduled a number of global marketing seminars with these partners to introduce Flotek products and services to new markets. We're excited about these opportunities and believe they will, over time, lead to new profit opportunities for Flotek. In short, there is not a hydrocarbon-producing region in the world that Flotek now does not touch, a major change from just 2 years ago. While the development of consistent commercial opportunities will take time, our progress in the past year is both significant and encouraging. We continue to make marked progress in our enhanced oil recovery initiatives. As we've noted before, the demand for surfactants and other specialty chemicals in EOR projects is greater than any other hydrocarbon application. And early studies suggest Flotek's Complex Nano-Fluids provide the same value-added benefits in EOR projects as in primary recovery. While we continue to be very deliberate in our approach to this new market, we are currently involved in several projects to further demonstrate the efficacy of our technology and economic benefits of our suite of specialty chemicals in enhanced oil recovery projects. Included are projects for 2 of the largest players in the EOR market. In 2013, we are focused at pushing our EOR initiatives forward, both through intrinsic growth and quite possibly, through extrinsic opportunities that add to the breadth and depth of our EOR service offerings. Consistent with our belief in research and development in our primary completion business, we believe that investment in the best leading-edge science and technology for enhanced recovery will only make Flotek a more ubiquitous player in this incredibly dynamic and growing market. Finally, a few comments about early first quarter performance. As noted in the past, Flotek's first quarter is traditionally more moderate than the balance of the year, a result of seasonal weather and environmental regulations that can dampen activity in various regions of the United States. In addition, customer budgeting vagaries tend to slow spending in the early weeks of the new year. 2013 has been very predictable, with a relatively slow start in early January and deliberate acceleration into February. However, business trends accelerated meaningfully in late February and continue to show significant strength into March. Moreover, we believe that a plethora of new opportunities are on the near-term horizon, which should generate new business for Flotek and add value for our shareholders. While we remain a bit cautious of the macroeconomic backdrop and continue to watch in disbelief as the dysfunction in our political system continues, we are pleased with the start to 2013, even noting challenging comparisons from an unusually strong first quarter in 2012. That said, notwithstanding the slow start, we should post constructive year-over-year comparisons in the coming months as our marketing strategy, combined with best-in-class products, attract the attention of more prospective clients. And we simply won't rest until every possible customer can say they use Flotek in their wells. Over the past 3 years, we have endeavored to provide a clear roadmap regarding our objectives and game plan. In 2010, we asked you for patience while we work diligently to reengineer a company with a bruised psyche, a broken balance sheet and a battered operating structure. In 2011, we dedicated ourselves to returning the company to an industry-leading technology position, supporting our clients and communities through innovation and accelerating profitable growth and return to shareholders. In 2012, we pledged to make a difference by assuring our chemistries were both green and improving our leading-edge downhole products, providing expanded opportunities for employees and creating industry-leading value for our shareholders. In 2013, we now must focus on wisely investing capital to create optimal returns for our shareholders through a wise balance of intrinsic growth and external opportunities. While we will be deliberate, we will not be afraid to consider extrinsic growth opportunities. However, we know from Flotek's history that every acquisition will be closely scrutinized. Any transaction will have to be compelling from both a strategic and value perspective. Moreover, we understand that any transaction will have to be precisely integrated to assure your company does not undergo the growing pains experienced in the past decade. As Flotek has evolved, our challenge now is to create value with the capital we generate through our dynamically profitable operations. While a new challenge for Flotek, we understand the importance of the mission and pledge to use every resource available to us to remain the leader in value creation among oilfield technology companies. As I said in the press release last evening, I marvel at the distance Flotek has traveled in such a short period of time, and I concluded the following: If we were able to accomplish so much starting with so little, imagine what we can accomplish with the resources Flotek has at its disposal today. That indeed is the challenge for 2013, to harness the resources we have developed to create more opportunities for growth, more opportunities for value creation and more opportunities for further self-improvement in 2013 and beyond. With our team in place, I'm more excited than ever about the future of Flotek. Again, thank you for your interest in Flotek. We are pleased and proud with our 2012 results, excited about the future and energized about the opportunities in front of us. Operator, we will now open the call to questions.
Operator: [Operator Instructions] Our first question comes from the line of Michael Marino of Stephens Inc.
Michael R. Marino - Stephens Inc., Research Division: Just want -- John, just wanted to kind of dig in a little bit on your commentary around Q1, or how it's progressing. You mentioned January was a slow start and kind of moving higher from there. Should we think about Q1 as maybe the mirror image of Q4? Or do you think Q4 is kind of maybe indicative of some sort of bottoming here as your customers now get back to work and hopefully, you get a little bit of an industry tailwind?
John W. Chisholm: Yes. Given those 2 choices, we'd say that, we'd look at Q4 as a bottoming out and that our expectation midway through March is Q1 will be above the Q4 number.
Michael R. Marino - Stephens Inc., Research Division: Okay. And maybe, specifically, what's driving that? Is there a particular customer? Is it some of the pioneer work that's maybe ramping up? Or is it one thing you can point to that gives you kind of the confidence that maybe this acceleration is -- or in the -- within the quarter kind of continues?
John W. Chisholm: Well, there's a couple of things. First, a little bit of clarity on the fourth quarter. We made, at that time, early in November, a conscious decision to maintain our best-in-class margins and our pricing when there was a situation, quite frankly, with several of these private equity funded hydraulic stimulation companies that were beginning to stretch their payables. And oftentimes, when you stretch your payables, then you become questioned, are you going to get your money? Our receivable number is best-in-class, 51 days turn. Our bad debt allowance is best-in-class, 2%. And we wanted to be mindful of that, protect that, and that was an impact in terms of fourth quarter revenue. In terms of the first quarter, we can accurately say that there are more people using our Complex Nano-Fluid from a client basis than any time ever in Flotek. There's not one specific event that I would say that has the first quarter where it is, but it's a broad-based exposure that, as we've said all along, will take time through this education process. And we, like I said, we can state that there are more E&P clients using Complex Nano-Fluid than in any time before.
Michael R. Marino - Stephens Inc., Research Division: That kind of leads into a follow-up question on the margin front. I guess the chemical margins dipped in Q4, which you alluded to some of the issues there. How should we think about margins going forward? Is there room from kind of -- I guess, Q3 was kind of the high watermark on the gross margin line in chemicals? Is that something we can see you get back to in the near term?
John W. Chisholm: Yes. I want to talk about one thing in the margins in the fourth quarter, regarding chemical. We took a $1.2 million inventory write-down on guar. The was an event that had to be looked at as a commodity in terms of market-to-market pricing of guar. Earlier in that -- in the late summer, we had several clients that expressed a frustration in the availability [indiscernible] and the way the inventory has worked out, it was the right thing to do in terms from an accounting treatment to make that adjustment. So we're very comfortable with where the margins are, excluding that event, for the overall chemical segment.
Michael R. Marino - Stephens Inc., Research Division: Okay. And is -- the guar is not something that you guys can look at as an ongoing business line? It was more just an opportunity that [indiscernible]?
John W. Chisholm: That's correct. That's correct.
Michael R. Marino - Stephens Inc., Research Division: Okay. And it's all behind us now?
John W. Chisholm: That's correct.
Operator: Our next question comes from the line of Arudy Hokansen [ph] from Barrington Research.
Unknown Analyst: Two questions. One, how are you positioning CnF 2.0 versus your earlier version, and how is that being marketed? And second, on the Gulf Energy joint venture now, I was just wondering how soon do you expect that to ramp up and on what scale?
John W. Chisholm: Sure, I'll answer the second question first and send the first one over to Kevin Fisher. We can't speak to the approval process in Oman, with the Omani government. But I think kind of a stake in the ground that all of us should try to remember is, we would expect that the facility, based on what we've been giving in the guidance so far, is by the end of this year, we'll be pushing chemicals out the door. We expect a gradual ramp-up of sales through that relationship, through the remainder of the year. But it will be towards the end of the year before we really fully realize the benefit of having a facility over there. So somewhere towards the end of the fourth quarter is when we'll be able to give you some further clarity in terms of the status of that facility. But in terms of the first question, Kevin Fisher will be glad to answer it for you.
Marc Kevin Fisher: So regarding the CnF 2.0, we have spent and we've discussed this before, over the last 6 months of 2012, doing exhaustive studies in the laboratories, comparing CnF 2.0 against our other CnF products and then comparing it basin by basin, formation by formation, to find out which formations will benefit from the most uplift. And if you recall some of our earlier comments around CnF 2.0, the primary goal in the research and development of that product was to make a product that would be as good or better than existing CnF products and be able to pump that at half the concentration. So you could use half as much, get the same benefit in terms of productive uplift or maybe a little bit better in some reservoirs. So now we're -- we've finished the lab testing and the pilot looks at reservoir by reservoir where we think that product has the most uplift and is going into the field. In fact, during the fourth quarter, the first shipments of the CnF 2.0 were sent to a customer in the field out there. Does that answer your question?
Unknown Analyst: Yes. I was just wondering, as you -- is there any issue in terms of how you're pricing the product relative to earlier CnF products? And what you expect that might, basically, influence market receptivity?
Marc Kevin Fisher: The margins on the CnF 2.0, we expect -- well, they will be as good or better than on the previous products. The CnF 2.0, as I mentioned, will be pumped at half the volume as previous products. So it will be more expensive on a per gallon basis. The client can still use less of it, and I think at the end of the day, the cost of application in the field with the 2.0 will be about the same, maybe only slightly less than the existing CnF products.
Operator: Our next question comes from the line of Greg Gardner of Singular Research.
Gregory P. Garner - Singular Research: Can you give us some more color, John, on the EOR field test? How many tests, maybe how many basins, how many companies, your perception, how long they're going to last or maybe progress on the prior tests?
John W. Chisholm: Sure, and I really don't want to sound like a broken record on that question as to -- as it's been asked in previous calls in terms of -- our frustration, no different than yours, of the difficulty of having more publicity of who exactly we are working with. As I mentioned, just maybe 10 or 15 minutes ago, we are now having field applications for 2 of the largest EOR companies in this industry, and that's a very small class. There's only about 4 that you would consider as 2 -- as the 4 largest. And so we've got applications going with 2 of that 4, and so you can probably fill in the blanks there. We had mentioned consistently that this would be a process that we would demonstrate the value on the smaller companies and migrate up to the larger ones, we've done that. We are currently involved in 4 different basins, I believe, with these companies. And we will continue to expand it that way. We're involved in a couple of different industry. If you will, in the summertime, we will be presenting information in SPE-type papers that are able to talk more about the EOR, but we're as frustrated as anyone else. But the nature of this is the clients just prefer not to have a level of publicity as to what they're doing with this EOR. But we're -- there's nothing that has changed our view as to where we're headed with our Complex Nano-Fluid chemistries in the EOR applications.
Gregory P. Garner - Singular Research: Yes. It certainly seems like a great opportunity. I'm just wondering what your view might be on potential revenue ramp? Is that pushing out now towards 2014 for this? Or do you have any sense that there would be a contribution in 2013?
John W. Chisholm: No, we've consistently said that we expect by the middle of this year to have a EOR contribution on a monthly run rate, similar to the chemical contribution over the past year international [ph]. So again, you can kind of connect the dots there. But we expect somewhere just under $1 million a month in the latter part of the summer to be coming from EOR opportunities. And we haven't changed from that view, that's still our view as of today.
Gregory P. Garner - Singular Research: And on the CnF 2.0, perhaps it's my misunderstanding here, but is this -- in the use of -- in the completion, is this essentially expanding the market for your CnF technology? Because I thought majority of the CnF was really used more in the frac-ing side.
Marc Kevin Fisher: Yes, this is Kevin again. So the CnF 2.0 is the same market space as the original CnFs. And we've talked about this before that in the gas plays, the primary purpose of the CnF in a dry gas drilling boom [ph] was to remove the water that was pumped off of the frac jobs in order for the gas to be able to flow back into the wellbore and through the fracture and up the hole. Oily reservoirs are more difficult. The molecules of oil are larger, they're more viscous. It's harder to get that through the pore space and in the formation and into the -- harder to move it through the fracture, just because of the size of the molecules and that increased viscosity. And so we find that with the CnFs, and we now have about a dozen different CnF products, we find with the CnFs that some work better in one reservoir but not as well in another reservoir. So it's sort of a fine-tuning process to determine which CnF is the best for a given reservoir. So we may run a different CnF in the Bakken than we do in the Woodford, and a different one in the Woodford than in the Eagle Ford and South Texas. The CnF 2.0 product is a better product for a wide variety of these reservoir but it's still used in the fracturing process there, the CnF product [indiscernible] surfactants and solvents and emulsifiers elements [ph] are very useful in the oil.
Gregory P. Garner - Singular Research: I'm sorry, you seemed to fade out there a little bit. After you mentioned that 2.0 is better for a wide variety of basins, I didn't catch what you had to say after that, I'm sorry. Could you repeat that, please?
Marc Kevin Fisher: The CnF 2.0 has application in a wider variety of basins. So there will probably be fewer CnF 2.0 products than there are of the original CnF products. And again, as I mentioned earlier, that the primary benefit of the CnF 2.0 is that it can be run at half the volume or half the concentration in a frac job, with the expectation to get as good or better performance from that well.
Gregory P. Garner - Singular Research: Okay. But I'm still a little bit unclear, perhaps it's my own mental block. I'm sorry if that's the case, but is it used more in completion or still we're just focused on frac-ing here?
Marc Kevin Fisher: It's focused on fracturing.
Gregory P. Garner - Singular Research: Yes, okay. And just one final item on the CapEx. You mentioned in the 10-K how -- it looks like CapEx for chemicals is about doubling. Is this associated with the CnF 2.0? Or is there something else going on? The forecast for CapEx for 2013 is what I'm referencing.
John W. Chisholm: Right. We have built-in -- part of that CapEx would to be to build this plant in Oman. So we have put in several million dollars in the CapEx there and then to continue the rest of the construction buildout at Marlow, Oklahoma. So that's where the extra CapEx come in, in chemical.
Operator: Our next question comes from the line of Brian Uhlmer from Global Hunter Securities.
Brian Uhlmer - Global Hunter Securities, LLC, Research Division: I had a couple of quick follow-ups. First off, your press release says that your 42-point-something percent margin in chemicals excludes the inventory. Is that a typo? Because it sounds like it does not -- that includes it, right? So your true margins in chemicals would have been about 45%. Is that accurate?
H. Richard Walton: Yes, that was a typo in the press release. The actual reported margin, that's for the fourth quarter on -- in chemicals was 42.4%, that was the actual. If you back out the $1.2 million inventory adjustment that occurred on December 31, that would, if you exclude that write-down, the margin would have been 45.0%.
Brian Uhlmer - Global Hunter Securities, LLC, Research Division: Okay, solid. And the other $200,000 of inventory reserves was from another segment? And that affected Drilling Products, is that correct? You had a $1.4 million total write-down.
H. Richard Walton: I believe that total write-down was $1.2 million.
Brian Uhlmer - Global Hunter Securities, LLC, Research Division: On the inventory, okay. We'll catch up offline on that others -- on reconciling that $1.4 million in the cash flow statement. My next question is really on the G&A. On the quarter, you're 19.4, about 25% of your unrealized sales were down in the quarter. Can we talk about where that's going to shake out on an absolute basis moving forward? And I guess, notably, what type of revenues that G&A can support -- if we're growing the business are we going to keep adding G&A as a percent of sales on an absolute basis so as a percent of sales, that remains flat or will it go down?
John W. Chisholm: Brian, this is John. And our expectation is it's going to be flat or go down as a percentage of sales. We tried to illustrate that in that SG&A is that non-cash number on stock and on the equity program. And if you allow me to take just a little bit of your time, then we'll be glad to answer a follow up question for you. I wanted to provide you just a little bit color on that because I think it provides an inside look into the culture of Flotek in that, we have distributed the stock program to over 25% of the Flotek people. And that 25% gets over 40% of the equity. And to that point, we pushed this equity all the way down to dispatchers, administrative people, the districts that are in charge with invoicing and reconciling, from an accounting standpoint, getting things to the right place at the right time. And that has created an alignment of our folks with the shareholders like nothing I've never seen before. And those people understand that, that equity, there will come a time that, that can pay for a kid's college or a new house. And that's why we wanted to illustrate that as to what it is from a non-cash standpoint on the earnings per share that we think we've done something that's really kind of special and that, in part, leads to the performance of Flotek. We watch that SG&A very carefully. And as you know, probably it's better -- as good as anyone on this call, when you're in kind of a growth mode as Flotek is, sometimes you got to build up that SG&A in anticipation of the growth. But to more directly answer your question, we believe the SG&A will be flat or slightly down as a percentage of revenue for 2013.
Brian Uhlmer - Global Hunter Securities, LLC, Research Division: Is that on average for the year? The fourth quarter run rate was obviously a little bit high with revenues coming in. Are you saying that as a percent for the whole year? Kind of roughly 21.2?
John W. Chisholm: Right. If you look at it over an annual basis in terms of the way you like to model things, that's correct that it will be flat to slightly down on an annual basis.
Brian Uhlmer - Global Hunter Securities, LLC, Research Division: Now, [indiscernible].
John W. Chisholm: Rich wants to add -- hold on one second, Brian, and we'll let Rich have a follow up. Rich wants to add one thing.
H. Richard Walton: Yes, Brian, I understand your question. The $1.4 million amount that is a provision for inventory adjustments that's shown in the statement of cash flows compared to the $1.2 million mark-to-market write-down that we've just discussed. The $1.4 million contains an additional $200,000 that was a provision for our reserve for excess and obsolete inventory. That is something that we do review each quarter and the specifics of that are presented in the inventory footnote in the Form 10-K, that would be in Note 5.
Brian Uhlmer - Global Hunter Securities, LLC, Research Division: Now, John, on the stock-based comp, you know very well that I'm fully on board with pushing down the -- pushing this down. It looks like the primary options and restricted stocks are not used ops, right? So should we look at, as our share count rise and potentially 2% of your share count per year being allocated out to your employees, is that the best way to look at? And can you talk a little bit more about whether it's options to those employees or restricted stock? And if so, what's the vesting period, and when are we going to actually have to see that cash outflow by Flotek for that stock?
John W. Chisholm: No, that's fine. All great questions. The stock is all restricted stock. There are no options. The vesting program that's in place is now 3 years. And the last year was a bit of a unique one in terms of we had some cliff vesting from previous equity plans and some other plans. But going forward, it'll all be on a 3-year vesting program, part of that, for folks listening in, say we'll have some people or a 5-year, whatever, quite frankly, the age demographics of Flotek is such that some of the folks sitting around this table are, closer over 60 than closer to 50. But we've tried to be respectful of that, so it's a 3-year vesting program. And it should be the percentage that you mentioned or slightly less.
Brian Uhlmer - Global Hunter Securities, LLC, Research Division: Okay, great answers. And finally, no one spent a lot of time on this and you guys know how I like Steve Reeves to talk at least once. Could we talk about the Drilling Products performance and even on kind of a revenue mix, why the margins were up so smartly? And if that is something that we should expect ongoing or we should actually expect it to improve as the Permian activity ramps up and Mississippian holds flat at a minimum?
Steven A. Reeves: We are going -- thanks very much for calling me in, Brian. As you look at the margins in there, there's a lot of pressure out there right now with the less rig count, as you follow that very closely. Until we start seeing an improvement on that, we're going to be very hard pressed to do anything with margins. We're -- the margins are probably -- we're not -- anything in the high 30s on the Drilling Products margins is pretty acceptable. And we're pretty comfortable with where we are, and we're fighting to hold that right now. So I would look until we see some rig count improvement. We're not going to see any possibility of increased margins, Brian.
Brian Uhlmer - Global Hunter Securities, LLC, Research Division: Okay. But you think you can hold them, which -- they're best in the biz, so I'm not putting them down that way?
Steven A. Reeves: Yes, that's it. If we hold this, we're doing very well, and we're pretty satisfied with what we're doing right now.
Operator: Our next question comes from the line of Chris Oresky [ph] from Bowstreet Capital.
Unknown Analyst: Just 2 quick questions on revenue. The first, what was total CnF revenue in Q4? And then if you could actually share January and February Q1-to-date total revenue numbers, that would be extremely helpful.
John W. Chisholm: Yes, Chris, John here. We'd actually like you to ask 2 other questions, only because we don't give out CnF revenue by quarter like that. And we've made a practice, from a guidance standpoint, not to give out the specific revenue of months while we're in the middle of a quarter. I'd just ask you to be comfortable with the answer we answered early on with Mike Marino, that we believe the first quarter will be an uplift over the fourth quarter of 2012.
Unknown Analyst: Got it. And can you just provide any directional or indication on CnF revenue sequentially Q4 versus Q3?
John W. Chisholm: Yes, I think it was certainly as good as or up over the third quarter. I think we put a statistic in there as to what CnF was year-over-year. But Kevin, do you want to add anything to that question?
Marc Kevin Fisher: Yes, Chris, this is Kevin. The chemical group revenue Q3 to Q4 was up $2 million, and it's fair to say most of that was CnF. The other thing I'd like to, and certainly related to your first question, again, as John said, we don't break out the individual product segments within various groups of ours. But when you look year-over-year in Q4 versus Q4 of 2011, the chemical revenue was up $5 million quarter-over-quarter from 2011 Q4 to 2012 Q4. Down-hole tool revenues fell a little bit in Q4 versus the earlier year Q4. But when you look at the change in rig count, about 200 count drop in rigs from year-to-year in that fourth quarter to a down-hole tool revenue per rig running out there was actually up 9%. So both of the units performed very well in Q4.
Operator: [Operator Instructions] Mr. Chisholm, there are no further questions at this time.
John W. Chisholm: Okay. Thank you, operator. And folks, thanks to all of you for your support, questions to Flotek. We look forward to speaking to you again in April, seeing many of you at the IPAA New York Investor Conference, or we have our annual meeting here in May. You'll obviously be aware of that as we get closer to that to the exact time and date. And then our first quarter call will be sometime there towards the first end of the week of May. Again, thank you for your interest in Flotek, and we'll talk to you all again soon.
Operator: Ladies and gentlemen, that does conclude the conference call for today. Have a great day, everyone.